Nathan Coe: Good morning, everyone, and welcome to Auto Trader’s Full Year Results for the year ended 31st of March 2022. It’s great to once again to be presenting to you in person as we move beyond COVID-19, which I’m pleased to say has not impacted our financial performance as it did last year. There are still challenges in the car market with significant supply constraints, initially driven by semiconductor shortages, compounded by supply chain disruptions from the war in Ukraine, lock downs in China, and commodity shortages. I would like to thank our people, our customers and widest stakeholders for their continued trust in our business. We’ve worked hard to do the right thing such a working with or for Auto Trader feels like a genuine partnership, which is reflected in our culture, our relationship with customers and the strength of these financial results.  Starting with our strategic overview; this year, we’ve achieved our highest ever revenue and profits, signaling a return to more normal trading, following periods of discounts to support customers when their ability to trade was restricted. Consumer engagement and customer numbers have also hit new highs during the year, strengthening our position as the UK’s largest automotive marketplace for new and used cars. Despite challenges around supply, paid stock grew year-on-year for the first time in four years, which is both significant and a huge credit to our teams that work with our customers. In April 2021, we successfully delivered our annual pricing event, including a new product, Retailer Stores, offering retailers their own dedicated customizable destination on Auto Trader, which have generated over 58 million visits in the year. Product uptake has been strong through the year, supported by significant changes to how we work with our retailers partnering with them to focus on achieving their stated business goals. In May 2021, we evolved our advertising package staircase, adding higher level packages and a consistent cross platform search experience. We also launched our Market Extension product, allowing retailers to reach car buyers outside of their local area. These two products were key drivers behind the record levels of spending by our customers.  We launched Auto Trader Connect into our retailer packages as part of our April 2022 pricing and product events, which has gone well. Auto Trader Connect gives customers access to our most fundamental and powerful data, which improves advert quality, pricing decisions, and introduces real time updates between our systems and those of our customers, which is a key enabler for digital retailing, as without accurate or real time view of stock vehicles cannot be transacted online.  With car buyers looking to complete more of the car buying journey online, making this a reality remains our focus. We’ve made good progress in the year developing the component parts, including guaranteed part-exchange, reservations, finance applications, all of which have been trialed independently. Our focus now is to bring these together to create an integrated platform for retailers and an end-to-end deal builder journey for consumers connecting the online and offline buying journey so that consumers can complete different parts of the process in any channel seamlessly with the retailer.  We’ve also made excellent progress on the key enablers for digital retailing, Market Extension, Auto Trader Connect, our pricing and data products and our logistic marketplace AT Moves are all launched, commercialized, and ready to be incorporated into a broader digital retailing offering alongside deal builder when it’s launched. We’re pursuing this opportunity with our usual disciplined organic approach and see it very much as an extension of our marketplace, strengthening our core while providing a multi-year growth opportunity. We are not seeking to become a retailer, but instead of provider of a highly scalable technology platform, enabling car buyers and retailers to complete the transaction between themselves online or on the forecourt. This approach has meant that there has been no erosion in our operating profit margin, as we invest in future growth. In March 2022, we announced that we have agreed to acquire Autorama UK Limited subject to regulatory approvals. The acquisition is core to our strategy as it enables digital retailing on new cars, as they have the capability to transact vehicles from order through to delivery by a retailer providing manufacturers and leasing companies or direct channel to consumers. Autorama has existing partnerships with OEMs, funders, and retailers, which we have an opportunity to strengthen and expand with Auto Trader’s brand and scale. The acquisition moves us into a transactional model on new cars quicker than we would achieve organically. The business has and is expected to experience subdued levels of sales while new car supply remains tight. However, as and when new car production returns, it will become increasingly attractive to manufacturers and leasing companies, while also benefiting from structural tailwinds, including direct-to-consumer sales, the move to electric vehicles, digital retailing, and the continued growth in personal leasing. We have not yet received all regulatory approvals, and will provide more detail on completion. We plan to cover this and our digital retailing ambitions more broadly at an Investor Day, which we’re proposing to hold on the 6th of September.  Now turning to the financial results, as you may remember, during much of financial year 2021, we chose to offer our retail customers free advertising when they were required to close their physical forecourts. This included April, May, and December 2020 and February 2021, as well as a discounted rate in June 2020. For this reason, we see financial year 2020 as a more meaningful comparison through which to view our performance. Using that comparator, revenue increased by 17% to 432.7 million pounds, with trade revenue up 20% to 388.3 million pounds. Operating profit also increased by 17% to 303.6 million pounds, with operating profit margin returning to 70%, consistent with 2020 levels. Compared to the financial year 2020, basic EPS was up 15% to 25.61 pence per share and cash generated from operations was up 24% to 328.1 million pounds. Having reinstated our capital policy, we returned 237.1 million pounds of cash to shareholders through a combination of dividends and share buybacks, 73.6 million pounds was paid in dividends and 163.5 million pounds before transaction costs were used to buy back shares during the year. Today, we’re also declaring a final dividend of 5.5 pence per share, resulting in total dividends for the year of 8.2 pence per share.  Now on to our operational results where prior year remains a useful comparator. The average number of cross platform visits increased by 9% to 63.8 million per month. Engagement, measured as the volume of cross platform minutes, was up 5% to 588 million a month. We remain the UK’s largest and most engaged automotive marketplace for new and used cars with over 75% of all time spent across our main competitor set spent on Auto Trader. We’re now eight times larger than our nearest competitor, the combination of Gumtree Motors and eBay, which has increased on last year. The average number of retailer forecourts advertising with us grew 5% to 13,964, the highest level we’ve seen for some time. It was due to low levels of cancellation and consistent levels of new business, which we believe is due to the combination of favorable market conditions, the partnership we have built with customers through the pandemic, and the demonstrable value delivered by our platform. Average revenue per retailer per calendar month or ARPR was up 886 pounds to 2210 pounds, 639 pounds of this increase was a result of COVID-19 discounts in the prior period. When normalized, ARPR grew by 247 pounds per month versus prior year with good contribution across product, stock, and price. When compared to 2020, ARPR was up 13%. Average physical car stock on site decreased by 11% to 430,000 for the year, this was partially driven by a decline of 18,000 new cars on Auto Trader, due to the very well documented new car supply shortages. It was also due to an offer allowing customers to double their stock for free from late March to mid July 2020, which was not repeated this year. And finally, the average number of full time equivalent employees increased to 960 as we continue to invest to support growth across the business.  Finally, our cultural KPIs which are as important to us, and the rest of our business, as our financial and operational KPIs, as they underpin our culture and purpose to drive change together responsibly. Achieving systemic progress on these KPIs will take considerable time and effort but we’re fully committed to doing the right thing in the right way, which we expect to show up in these measures over time. But there will be volatility along the way due to the nature of those measures. We carry out checking surveys with our people at regular intervals throughout the year, the most recent being in April 2022. This includes a number of engagement questions, one of which is how proud employees are to work at Auto Trader, which has remained high at 95%. We believe creating an inclusive culture and building greater levels of diversity within our organization improves both individual and team performance. During the year, we now have a slightly higher percentage of women than men on our board, following the appointment of Jasvinder or Jass Gakhal in January 2022. At year end, women represented 40% of our organization, and women in leadership saw a meaningful improvement to 38%. Ethnically diverse employees currently represent 14% of the organization with 12% of employees not disclosing their ethnicity. The percentage of ethnically diverse employees in leadership roles remained at 6%, which highlights the work we still have to do in that area.  Finally, we will continue to report our scope one, two and three emissions at year end. We’ve committed to achieving net zero by 2040, and to reduce our emissions by 50% by the end of 2030. Our emissions during the year increased against the base year of 2020 due to an increase in our cost base and higher capital expenditure. We’re now working to better understand our suppliers’ plans, given that the vast majority of our carbon emissions are within our supply chain and not with us directly. Finally, we were carbon neutral for the year having offset 11,700 tonnes of carbon dioxide equivalent using an accredited scheme, and for the first time, the reduction in emissions will form part of our executive remuneration policy.  I’ll now hand over to Jamie who will take us through the financials in more detail.
Jamie Warner: Thank you, Nathan, and good morning, everyone. Starting with revenue, total revenue for the year increased 65% to 432.7 million. As Nathan mentioned, this was up 17% versus 2020. Trade revenue increased by 72% with the largest components of this being retailer revenue, which increased by 75%. The year-on-year increase was largely the result of the support we provided to our retailer customers in the previous financial year. Excluding these discounts, we saw good growth in average revenue per retailer, as customers opted to spend more with us across the year. The average number of retailers advertising with us also increased averaging 13,964, which was up 5% compared with the prior year. This increase in the number of forecourts was due mainly to lower cancellations in the period with levels of acquisition remaining broadly flat. Also within trade, we’ve seen an increase in Home Traders Pay As You Go listings, as well as growth in other trade revenue.  Consumer services revenue increased by 25%; within this, private revenue, which is largely generated from individual sellers who pay to advertise their vehicles on our marketplace, increased by 16%. There was a contribution of 0.9 million within this line from our instance offer product, which allows consumers to sell their car quickly from home for a guaranteed price. Motoring services was up 32% year-on-year, as a result of strong growth in both our insurance and finance offerings. And finally, revenue from manufacturing agency customers was flat at 11.1 million. The pandemic has had a significant impact on this revenue line in both financial year 2021 and 2022, as manufacturers have lowered their marketing spend due to the significant reduction in new car supply, and uncertainty as to when this will return.  Now on to ARPR, live cars stock, and retailers. ARPR increased by 67% year-on-year, with the average revenue per retailer generated across the period at 2210 pounds per month. The chart on the left shows the components that contribute to the movement in ARPR compared to the prior year. As you can see, much of the increase came from COVID-related discounts, which were offered to customers in the prior year, which by their absence in 2022, contributed 639 pounds of growth. Ignoring these COVID-19 discounts, underlying ARPR increased year-on-year by 247 pounds per month, which was spread across our price, stock and product levers. We delivered our annual pricing events on the 1st of April 2021 and this contributed the majority of the 74 pound price lever, which equated to an effective increase of just under 4%. Product contributed 121 pounds of growth year-on-year with a breakdown as follows. About two thirds of this product growth was a result of retailers purchasing more prominent products on Auto Trader. This is made up of increasing penetration of our high yielding Enhanced, Super and Ultra packages with 31% of retailer stock on one of these packages above our standard level in March 2022 versus 26% the year before. In addition to packages, retailers sought prominence through greater use of our pay per click product and our Market Extension product, which was launched in May 2021, had over 6% of retailer stock on it by the end of the year. Our Retailer Stores product, which is included as part of our annual pricing event in April 2021, also made some contribution to the products lever. And finally, there were a collection of other smaller products such as new car data and finance, which also made a small contribution.  Looking now at stock; the chart on the right shows the profile of live physical cars stock, which declined 11% in the year. As a reminder, live physical cars stock includes all cars advertised on Auto Trader. This means that in addition to paid for retailer use stock, it also includes new cars, private and home trader adverts, and the impact of stock offers. As usual, we’ve stripped out the impact of new cars and provided underlying used car live stock, the darker of the two lines. It is important to note that the stock lever is not driven by live stock, but by the number of paid for retailer used stock units. We provided a slide in the appendix which shows a chart for both live and paid stock. As you can see, live stock has consistently been lower in financial year 2022 than the level seen in 2021. In H1, the difference was mainly driven by stock offer in the previous financial year, which was not repeated in 2022. In H2, we’ve seen the impact of supply shortages, which have gradually fed into used cars.  Despite seeing less volatility in paid stock, partly due to our subscription charging model, 2021 was more variable than 2022. Early in the prior year, we saw some impact due to the first COVID locked down but recovered well through the year supported by the free periods of advertising. In 2022, we saw declining levels of paid stock through the first half, but did see some recovery in the last five months, particularly from our smaller customers.  Last year, the group made the decision to reduce costs, mainly through discretionary marketing spend. With a return to more normal levels of spend in 2022, total costs increased by 27% to 132 million. This was a 17% increase versus 2020. With most of this -- with this being due to an increase in people costs, with 107 more full time equivalent employees across the two years being the main driver. Marketing spend for the period increased by 109% to 20.5 million, which was equal to 4.7% of revenue, consistent with 2020 levels. People cost increased by 16% to 69.8 million. The increase in people cost was primarily driven by an increase in the average number of full time equivalent employees. This increased by 6% to 960, as we invested in more people to support new growth areas. There was also an underlying increase in the average cost per employee, partially as a result of the executive directors and the board, forgoing 50% or more of their salary and fees in the first quarter of the prior year, but was also impacted by our annual pay review, which resumed in July 2021, having not occurred in the previous financial year.  Other costs, which include data services, property related costs, and other overheads increased by 24%. The increase was primarily due to higher overhead costs, which included the return of travel, office and people-related costs, as well as higher IT spend through increased software and data services. Depreciation and amortization increased to 7.2 million, mainly driven by office improvements and an additional lease for increased office space. Capital expenditure in the period was 2.8 million, largely due to investment in our Manchester office with refurbishment to support our new connected working approach. As a reminder, low levels of CapEx and depreciation are not a reflection of low levels of investment in our business. In addition to our investment in cloud-based services, we have over 350 people in products and technology, who are continuously improving our platforms and developing new products for consumers and retailers the costs for which are taken in full through our income statement in people cost.  With revenue up 65%, costs increasing 27%, and a 2.9 million pound contribution from our share of Dealer Auctions profit, operating profit was 303.6 million. This is an increase of 88% on the prior year, and our operating profit margin returned to 70%. Cash generated from operations increased by 115% to 328.1 million. The year-on-year increase in cash generated from operations was bigger than operating profit, mainly due to a positive movement in working capital. Part of this movement was due to the free periods in December 2020 and February 2021, impacting our VAT liability at our 2021 year end.  The statutory income statement outlines areas beyond our revenue and operating costs. Net finance costs reduced by 32% to 2.6 million but the lower level of debt drawn resulted in lower interest. Our profit before tax of 301 million, and our effective tax rate was 19%, which remains in line with the standard UK rate. Basic EPS increased by 93%, as a result of the increase in profit of the tax. As Nathan said earlier, the directors are recommending a final dividend of 5.5 pence per share, resulting in the total dividends for the year being 8.2 pence per share.  Moving now to our net cash position and capital structure; our net cash position increased to 51.3 million at the end of the period as a result of slightly decreased activity in share buybacks due to the acquisition of Autorama. Cash generated from operations of 328.1 million was used to pay 2.8 million of CapEx and lease payments of 3.2 million. In cash terms, we paid 1.5 million of interest and 56.2 million of corporation tax. Dividends of 7.8 million were received from our joint venture Dealer Auction. Of the remaining free cash flow, 73.6 million was paid in dividends being last year’s final dividend and this year’s interim and 164.3 million inclusive of fees was used to buy back shares. In total, we’ve returned 237.1 million to shareholders in the year.  With effects from 24th of September 2021, the company reduced the total commitments of its syndicated revolving credit facility by 150 million from 400 million to 250 million. The group continues to be highly cash generative, and remains in a net cash position such that the size of the original 400 million pound facility was no longer required. The facility will terminate in two tranches; 52.2 million will mature in June 2023 and 197.8 million will mature in June 2025. In the coming year, it is expected that the group withdraw on its revolving credit facility to fund part of the initial consideration relating to the Autorama acquisition, which will move us into a small net debt position. The group’s long-term capital allocation policy remains broadly unchanged; continuing to invest in the business, enabling it to grow, whilst returning around one-third of net income to shareholders in the form of dividends. Any surplus cash following these activities will be used to continue our share buyback program and steadily reduce great indebtedness. It is the board’s long-term intention that over time the group will return to a net cash position.  That concludes the financials. I’ll now pass over to Catherine, who will take you through our market and product update.
Catherine Faiers: Thank you, Jamie, and good morning, everyone. Moving on to slide 14; as the UK emerged from the most recent national lockdown in June 2021, demand for both new and used cars has been strong for much of the financial year. This demand has been fueled by catch up in transactions that didn’t happen in 2020 due to COVID-related lockdown, increased consumer interest in car ownership, and good levels of consumer confidence overall. New car registrations in the year were at around 1.6 million. Although there was year-on-year growth of 4% versus 2021, registrations were still 22% below 2020 levels, as supply shortages have impacted new car volumes. We expect a similar number of new car transactions in this financial year. These constraints have impacted used cars, in particular for our larger customers, as low end new car sales have meant fewer parts exchanges, and a lower volume of cars send to auctions from wholesalers. The first six months of used car transactions were strong year-on-year, with 31% growth as Q1 lapped the first pandemic lockdown. In the second half of the year, growth was only 1%, which was impacted by supply shortages. The combination of these meant that there was a 15% increase year-on-year in 2022 overall.  It has been widely reported that inflation is resulting in a sharp rise in the cost of living for UK consumers. This rise in the cost of living has the potential to impact the short-term demand for vehicles. We have included transaction data from financial year 2006 to highlight the relatively low levels of cyclicality, particularly in used car demand through various periods of the economic cycle. For many consumers, purchasing a car is considered a priority and not discretionary spend. There may trade down on the price of the vehicle or reduce usage but will commit to the transaction itself. Auto Trader’s financial history is harder to analyze as the last UK recession coincided with our shift from print to digital. That said, it is our belief that between our market position, the partnership we have with our customers, our business model, and the quality and volume of consumers engaging on our platform, all means that we are well placed to weather challenging times.  We continue to publish a monthly price index of trade cars advertised on Auto Trader. The results of which are shown in this chart. Our live real time data on market pricing has recently been adopted by the ONS as a source of data to power the UK Consumer Prices Index. This reflects the scale and accuracy of our data and it’s also another important step in our strategy for our data to become the currency that powers the industry. The blue line on the chart shows the average price of a vehicle advertised, which you can see has increased significantly over the financial year. By grouping cars by type, age, and fuel type, we’ve isolated the impact of underlying like for like price increases, shown as the dark blue bars.  As you can see on the chart, for the last 12 months, the like-for-like prices have increased significantly, with high levels of demand combined with constrained supply, generating upward pressure on prices. This has resulted in a like-for-like price increase of 22% versus the prior year and over 30% growth in March compared to the same period last year. We do expect pricing growth to slow in the coming months, as we increasingly lap very strong prior year comparative period and as consumer demand continues to soften from previous high levels. This strong pricing trend in financial year 2022 flowed through to very good trading conditions for many of our customers. This resulted in them generating significantly more profit per vehicle, while also selling vehicles faster, despite overall volumes remaining down for some retailers.  Over the year, our audience position has strengthened as overall consumer demand was strong, and we continue to exhibit clear market leadership. Starting in the top left, cross platform visits grew by 9% year-on-year to 63.8 million visits per month. Engagement, which we measure as the total number of minutes spent on our platform, increased by 5% to 588 million minutes per month. We have maintained our position as the UK’s largest and most engaged automotive marketplace for new and used cars with our share of total minutes amongst our main competitor set, as measured by Comscore remaining strong at over 75%. As our spend on marketing return to more normal level, the percentage of our traffic that comes from paid channels increased slightly, but were still only 5% in the year. The chart on the right shows the total minutes spent across an expanded set of competitors, retailers, and manufacturers. On average, over the year, Comscore estimated that consumers spent over eight times more minutes on Auto Trader than our nearest competitor, the combination of Gumtree Motors and eBay and over 12 times that of CarGurus and PistonHeads combined. Our relative position has strengthened against both players over the last 12 months. It is likely with the announcement that Gumtree Motors have been sold, that in the next reporting period, we will split out our largest competitor. In March 2022, we were 13 times larger than the combination of Motors and Gumtree and 16 times larger than eBay. Now onto our products update. We continue to evolve and improve our marketplace to create the best search experience for buyers. We have grown the volume of electric content that we surface and share in line with our commitment to help consumers make more environmentally friendly vehicle choices. In the year, we also created an electric car hub, which provides advice on ownership, cost comparison, and charging infrastructure. We’ve also run a monthly electric car giveaway, which has had 2.1 million entries across the year, and driven awareness of EVs for sale on Auto Trader. We evolved our advertising package structure and change the sort order for listing at the beginning of this financial year where our packages previously promoted adverts based on the device that a consumer was searching on, we have created a consistent cross platform experience with adverts appearing in search based on a relevancy algorithm taking package level into account. As part of this change, we discontinued our basic package, introduced the higher level, and rebranded our top three levels Enhanced, Super and Ultra. As Jamie mentioned earlier, we saw good uptake for our higher level packages, with 31% of retailer stock on a package higher than standard at the end of the year, versus 26% the year before. We have seen customers continue to invest further in our suite of prominent products to drive competitive advantage and to maximize the opportunity while the market has been strong.  In April 2021, we successfully executed our annual pricing event, including the launch of Retailer Stores, which offers retailers their own dedicated customizable location on Auto Trader. This allows retailers to bring their brand to life, building consumer confidence and differentiation to buyers. Over the past year, we have seen over 58 million visits to these pages. The number of customers paying for a new car product has been robust, despite the challenges for retailers in sourcing stock. We ended the year with over 1800 retailers paying to advertise new cars on our site. For much of the past two years, we have developed basic key enablers and tested the individual components shown here, which make up the key steps in the online car buying journey. We believe that the physical showroom will continue to play an important role in the car buying process for many years to come, but there are also several components which can be bought online. This will drive sales, margin growth and efficiencies for our retailer customers provide a better consumer experience, and create significant long-term growth opportunities for our business. We believe executing on this journey will move Auto Trader’s addressable market beyond marketing and advertising into more directly driving profit per car, and also other parts of the cost base that currently support the sale, thereby enabling both our retailers and us to capture a greater percentage of gross profit.  Talking firstly to some of the key enablers of digital retailing for a retailer partners on Auto Trader. With the launch of Market Extension, retailers who have vehicles essentially held locations where they offer home delivery, or multi-site customers who are able to move vehicles to a location closer to the car buyer can have those cars within local searches on Auto Trader. This digital retailing product is driving incremental sales for resellers, enabling them to sell beyond the physical constraints of their forecourt. The product has been launched and commercialized. Initial uptake has been strong, with over 6% of retailers stock on this product at year end.  We can also facilitate in a cost effective way, consumers that want to have their cars delivered through our Auto Trader Moves platform. We continue to evolve this logistics marketplace to support an increasing volume of vehicle move direct to consumers. Over the year, we facilitated around 122,000 moves, of which around 15% were delivered direct to consumers. Auto Trader Connect was launched in April 2022, as part of our annual pricing event. Auto Trader Connect allows real time integration with our customer systems and improves data quality, making it a critical foundation for digital retailing. As well as building the enablers for digital retailing on Auto Trader, we have also been building out the components of the end-to-end consumer journey.  We have continued to evolve our trial for vehicle reservations during the year with the introduction of Auto Trader’s Seller Promise offered by a subset of trial customers. Seller Promise is designed to give buyers greater peace of mind when completing more of the buying journey online. The promise includes agreed features offered by a retailer such as warranties, a money back guarantee, and MOT and service commitment. In the year, we’ve seen over 400 reservations convert into a transaction, which gives us confidence of we incorporate this into our full deal builder journey. Two main challenges remains; firstly, it will take time to change retailer behavior and processes; secondly, we need to do everything we can to ensure real time stock availability and pricing on Auto Trader, which Auto Trader Connect support. We have also connected our guaranteed part-exchange and Instant Offer products, improving our offering for consumers who wants to conveniently sell their car for cash. These products enable consumers to get an accurate and guaranteed price for their existing vehicle while shopping on Auto Trader, eliminating either the need to haggle over price exchange or to look for other disposal routes. Consumer engagement with these products has grown over the past year. We have completed over 1.2 million guaranteed valuations and purchased over 10,000 cars through Instant Offer using our partner Cox Automotive. These products are integrated with our b2b auction platform Dealer Auction, so that cars acquired through Instant Offer or guaranteed part-exchange can be purchased by retailers allowing access to stock they would otherwise not be able to source. Finally, in July 2020, we acquired Auto Convert who provide a finance platform that helps retailers process finance applications seamlessly between online and forecourt sales channels. We have recently launched a small trial, enabling the application and approval of finance proposals on Auto Trader. This product is expected to drive greater transparency for buyers, providing an upfront view of their finance options, including a soft check step and full application, thereby driving efficiencies on the forecourt. While enabling each retailer to use their choice of lender dramatically increases the complexity of the product and on-boarding, we believe it will ultimately result in much greater take up and engagement from our customers, thereby giving us the best chance for seamlessly bridging the online to offline journey. There is still a lot more work to do to bring these key components together to create an end-to-end deal builder on Auto Trader for consumers and in portal and via APIs for our retailers. At this point, we will look to scale up the trials and then move towards commercialization. Given the complexity of what we’re undertaking, to build a platform for all retailers and finance providers to transact seamlessly online and on a forecourt, we are pleased with our progress. Our approach will leverage and enhance the strength of our marketplace, and ultimately mean we can offer more cards for consumers to buy online, while enabling any retailer to become a multi channel retailer.  As mentioned previously, we launched Auto Trader Connect as part of retailer packages in April 2022. Auto Trader Connect gives customers access to our taxonomy, which improves advert quality and specification accuracy, which flows through to valuations, and pricing decisions for retailers. It also enables real time updates between our systems and those of our customers. Customers will have the ability to create and manage adverts from their existing stock management system powered by our advanced vehicle data and shared in real time across the network. This removes initial inefficiencies of daily data feeds, and dual keying by retailers into multiple sales systems, maximizing margin and ensuring consistency and accuracy for consumers. We currently have integrations with over 40 third party providers to retailers, which is about 40% of all stock management providers. We see this product as a key foundation and enabler for digital retailing on Auto Trader. Without an accurate or real time view of stock across retailer sales channels, vehicles cannot be transacted online.  I’ll now pass you back to Nathan to talk to you the outlook for the next financial year.
Nathan Coe: Thank you, Catherine. We have the new financial year started well. In April this year, we successfully executed our annual pricing and packaging event, which included the launch of Auto Trader Connect. We’re anticipating another good year of ARPR growth underpinned by our product lever. We expect growth in the product lever to be greater than 2021 but less than the exceptional levels we achieved in 2022. We expect the price lever to be broadly consistent with the last year and the stock lever to be flat. We anticipate average retailer forecourts to be marginally down year-on-year, as we expect market conditions to return to more normal levels. Consumer service is expected to increase at low-to-mid single digits year-on-year, while manufacturers and agencies remains unclear due to the well-documented new car supply chain issues. Combined, these only represent 10% of group revenues. Despite cost pressures, we expect operating profit margins to be consistent year-on-year at around 70%. This outlook doesn’t include the acquisition of Autorama, which we will update on completion. The completion date is not yet known as not all regulatory approvals have yet been received. Despite growing economic uncertainty, the Board is confident in its growth expectations for the year.  That concludes the presentation and we’ll now move to Q&A taking questions from the room. And as always, you can start with your name, and your company. I would ask you to keep to one question, but you won’t so just try and keep it as brief as you can. Jamie?
Jamie Warner: Start down the front and we will go all the way back to Will.
Q - William Packer: Hi. It is Will Packer from BNP Paribas Exane. Three questions, please. Firstly, I suppose there’s a context among the wider peer group around the transition to a transactional, which has led to some disappointment on earnings driven by cost surprise. So just digging into your guidance a little bit, could you just help us think through what you’re baking in for the digital retailing opportunity in 2023? My interpretation, please correct me if I’m wrong is that you’re assuming no revenue, but we are -- we’ve the costs embedded in the product rollout already in there. Is that a fair summary or should we be worried that in September at the CMD we get some kind of cost surprise.  Secondly, looking at the stock ARPR outlook, is it fair to think of it as relatively conservative reflecting the economic environment? We scrape it’s clear that both among you and your peers the level of inventory is bouncing, because of probably weakening demand. So is that the right way to consider that stock ARPR guidance?  And then finally, to help us think about the capital market today, could you just sort of send out what we should expect to receive? I’m sure we’ll get a TAM and sort of product rollout plan but will we have details on the monetization strategy? Will there be financial targets? Thanks. 
Jamie Warner: I will take first. Nathan, you take the last one. So, I think from the guidance and the margin perspective, I think what you said around an assumption is correct. So we’re working on building out the end-to-end journey, we’ve had trials live for reservations, financing guarantee, part exchange, which come together in that transaction journey. It’s largely software developers, people working on the data, and there are some small associated costs with delivery of some of those products, but they are very small. So I think, it is certainly to build and roll out at a trial level, even up until the point at which you find monetization, I think we believe that we can absorb those costs within the guidance that we’ve given, you’ll know much more than me about the peers setup, it’s probably worth just emphasizing we’re trying to bring more of the transaction online, we’re not -- we building the forecourt will play an important role and the person will ultimately transact there. So, it is reserving the car, applying for finance, getting those approvals, understanding the price of the part exchange. I think if you get into logistics and fulfillment, there are high costs of not where we’re currently going.  Then in terms of the stock ARPR, I mean, I think if you look at that slide in the appendix, you’ll notice that we did have a very strong first half of last year, and we’re not on a paid basis, or light basis above that prior year level. So you’ve definitely got first half headwind. I think you’re right, if you see the market slow down a little bit, the inventory levels, you would expect to improve, albeit, I think you’d also see possibly lower volume of retailer forecourts. So I think we’re trying to balance the tougher first half come up with some uncertainty around the future, kind of macro view and that’s why we’ve landed it flat.
Nathan Coe: So on the capital markets day, I mean, obviously, we’re still things are moving relatively fast at the moment, in terms of our software builds. What we’re currently planning on covering is, what are some of the basic assumptions you should make about Auto Trader’s business as we look forward and that’s kind of not necessarily related, specifically, the digital retailing just about core business, what do we think about stock, what do we think about how the car park evolves, some of those much more longer-term assumptions and whether we see them as being supportive drives or likewise, because we think that’s the right context, because I think we’re very comfortable with our core business, and we think others should feel exactly the same. It also does play into digital retailing as well.  Then I think we want to hone into, how are we approaching or what are the do’s and don’ts that we’ve got, which we have spoken about a lot in Q’s and A’s, but obviously, probably more important than ever, but none of those things have changed, but we want to be very explicit about that. Then we’re hoping to show what we’re built. So we have got lots of these products in trial but we’re big believers that actions speak louder than words. So we’d like to take people through that so you can see -- you’ll understand more about the strategy, if you like, if you see what we’ve actually built, and also some substance behind the words and PowerPoint slides, which we’re more interested in.  In terms of we’re not wanting to put out unvalidated pie in the sky targets, so if we think your guess is as good as ours, what we’re going to try and do at this stage, because hopefully we’ve got customers using some of the journey, but I don’t think we’re going to have statistically significant understanding of conversion rates and the like. What we want to set out is the framework the TAM, we will definitely do, and then the framework for how we’re thinking about monetizing -- but what the metrics will be to get to a vehicle transaction and then how we’re thinking about monetizing that transaction. Then what I think we will do moving forward, this might now be the case, given Jamie, let me answer the question, I think will then report on that basis. So as we start to get numbers, you can start to fill in the blanks and get a feeling for more in five years time because I’m willing to bet that a lot more consumers to transact online, in five years time. I’m probably more confident about that number than I am whatever will be the end -- the results of our trials that we’re doing right at the minute. So we want to give you basically the same information where we’ve got sort of will be subject to what we learn between now and then because we are -- things are changing by the week in a positive way. 
Jamie Warner: Can we go to Adam?
Adam Berlin: Hi, good morning. It’s Adam Berlin from UBS. First question just on the market, we go back to 2019, when consumer demand was a bit weak, what we saw with auction clearance rates were a bit low, dealers not sure what cars to purchase. As car prices come off their peaks, is there any evidence that’s happening right now, or are dealers still trying to get hold of any car they possibly can? And how do you think that’s going to evolve the next few months?  I know, you can’t talk about -- second question, I know you can’t talk about Autorama guidance specifically, but can you have any comments on the leasing market in terms of again, given the supply issues with new car, are leasing companies getting any stock right now and how challenging is that for that market right now or is it improving?  And then thirdly, just on your product ARPR guidance, can you just give us a breakdown like you did for FY 2022 what are the main components of product ARPR in FY 2023? Thanks very much.
Catherine Faiers: In terms of the market today and how it compares to 2019, 2019 is actually the baseline that we’ve been using a lot in the last few months to try and kind of renormalize what we’re seeing today. We’re still seeing -- we’ve definitely seen some softening in consumer demand over the last few months but, overall, performance on Auto Trader engagement audience levels is still ahead of the levels that we saw prior to the pandemic. That softening, you’ve seen reflected through in our pricing data, and that was the year-on-year growth rates remain up about 30%. The actual absolute price of a used car has been at about 18,000 pounds since February. And a combination of that softening in demand planning through into pricing does mean that we’ve seen -- we were seeing very high conversions in auctions when supply was very scarce and that has normalized of that level to closer to the data points we would have seen back in 2019.  In terms of where that trends and how that flows through over the coming months, I think we’re expecting continued softening in consumer demand but from a very high level. We’re hopeful it will mean above 2019 levels, everything we see in our consumer data and consumer behaviors, we’re still seeing three and four people telling us they’re in market to buy in the next six months, we’re seeing very few consumers tell us that they’re looking to trade down or adjust the budget that they have. All of those sentiment trackers that we have on the car buying journey remain strong. They were expecting some softening, but not dramatic correction and for that play through into retailer sourcing and how they’re thinking about stock.
Nathan Coe: Yeah, and on the leasing marketplace, so it’s best thought of as the half of new cars that aren’t bought by consumers, it’s obviously a bit less than that. The situation is still tight, they’re not getting any cars. But I think it’s worth, you need to split it into two side, the leasing marketplace is made up of think of company cars, BT vans, all those sorts of things, and then Personal Contract Hire. Now, you can get this data for yourself, if you want to look at the BVRLA website, there’s a lot more data around the leasing marketplace, I would just say that some of it is sampled and collected from customers. So it’s not necessarily independently validated, but it’s helpful and directional. What you’ll see is, even over the past few years, Personal Contract Hire, which is where Autorama’s business focused, has continued to grow despite tight supply and that’s because the business channel has been coming off because companies don’t want to administer those schemes, and they’re not that tax effective for consumers and actually PCH turns out to be a very good value for an electric vehicle.  But I think it is fair to say, as a group, they would be seen to be dealers will get the cars first, if you like, because you want to get retail margin, then you’ll move into leasing companies and below that you have some other channels like rental and the like. So at the moment, it is still relatively tight but there are cars coming through. It’s not like zero. The good news is I think it almost swings the other way. As more and more cars come in, those channels should disproportionately benefit because at the moment it is so tight. It’s almost the inverse of that.
Jamie Warner: Yeah, and then the product lever breakdown, so about half of that guidance is, again, the prominence products that we spoke about to fiscal year 2022 moving up the packages, Market Extension. There’s about a third contribution from the Auto Trader Connect product that was part of the April 2022 event, it is a stronger product than what we had for Retailer Stores. And then the balance is just made up of smaller products like data, a little bit of finance. New car is very likely to be a headwind in 2023, for obvious reasons; slightly oddly, perhaps it was actually a small contributor in 2022, but that’s more of a quirk around the averages in us giving exit rates. So that hopefully that gives you the board component parts.
Ciaran Donnelly: Thanks. It is Ciaran Donnelly from Liberum. Two from me, please. Catherine talked about key drivers as retailers looking to upgrade their package. Could you characterize how much of the gain is from the desire to get a competitive advantage versus the market backdrop, and if we do see a significant deterioration in the market backdrop, what that means for the product lever going forward, maybe beyond 2023. And two, just in terms of delivering the digital retailing journey you highlighted to the key remaining key challenges, the one I want to touch on was the changing of retail behavior. I agree, I think more people will transact online but obviously changing retail behavior is important. How difficult you think that’s going to be and what’s your competence in delivering that change?
Catherine Faiers: On the first one on prominence and what we’ve seen in the last year or so, we’ve got very strong prominence growth. And so from, I think most of our customers have been looking at the market and looking at the exceptional levels of consumer demand that we saw during 2021. And when we weren’t in periods of COVID lockdown restrictions, they were trying to make the absolute best of a good market. So it was a combination of competitors, particularly some of the digital retailers and others, buying our Market Extension products and potentially becoming more visible in their local area. So there was some competitive dynamics but also there was importantly just this sense that, well, yeah, I’m a retailer, I’m in this business to trade as effectively as I can. And if the markets really strong, then I’m going to put my absolute best foot forward and try and capture as much of that market as I possibly can.  And as the market softens slightly from those very high levels, I think some of the kind of competitive dynamics start to play out, it is much more of a case of well, if the market there, there are segments of the market, they’re actually still performing very well, other segments that are softening. We’re seeing retailers increasingly looking to be more on the defensive rather than the offensive and say, well, actually, if the market in this region or for this segment of vehicles is contracting slightly, then I need to stay on prominence, or I need to invest in prominence if they haven’t already been on it to make sure that I’m capturing my share and to make sure I’m making that the transactions that are there, I am capturing them. So it’s different psychology, but actually, both markets I think can play well to our prominence proposition. Jamie, do you want to?
Jamie Warner: Yeah, I think -- I mean Catherine did say, changing retailers’ behavior is something which we’ve been trying to do 40 years takes and a while. The print online transition took 15 -- best part of 15 to 16 years, and we still had some very unhappy people the day that we closed the magazines. That being said, I still think it will be hard but I think what’s slightly different this time is there is more pressure on our retailers for a bunch of different reasons, which I think is pushing them down that route. Inflation is an obvious one. So stuff cost more, you need to find a way to ensure that you limit the impact of that cost on your cost base and your profitability. Now, they have very, very low levels of automation and digital retailing, can very quickly reduce the amount of time whether you need to have pay sales commissions, whether you need a business manager to be compliant around finance applications, because we can bring that online. Actually, there are some very pragmatic ways that you can not only increase sales, but say, well, you should question that cost, you should question that cost as well.  If you overlay on top of that, you’ve got competition, not just from online retailers, they’re the ones that people speak a lot but the very best retailers, so some of it were our best customers, very, very large groups. They are willing truly going down this path and they know they will get consumers -- they will take consumers from other retailers, if they can offer an online journey because there’s not a small proportion of consumers sort of 70% that when we show them the journey they say, yeah, I want to buy that way. Now, if you’ve got -- not used cars aren’t a commodity, but there’s kind of -- they’re a bit of a commodity and new cars perhaps and you will start to see share impacted. And then if you’re a franchise group, you’ve got OEMs moving towards agency agreements at all different speeds but what that really means is for what you used to make on new cars, 16% margin might be half that, might even be less than that, might even be a third of that, so there’s all these things that are coming together that are saying, we might not be able to resist change this time. Whereas previously, you’ve kind of been able to duck and weave and change little bit -- changed during COVID, but then revert back.  So, I think we’ll see quite a split and it’ll be particularly, at the time we’re at now, when the market is moving from crazy, everyone can make money, all attributing it to their own kind of skill and business processes to normal, actually, that will be very, very difficult and we’re already seeing signs of performance splitting on just basic processes. So I think digital retailing is another version of that. That being said it still won’t be easy, because even for the willing, their ability to change process, change technology, integrate with APIs, having to think about that, AT Connect and working with third parties is a good example where actually we don’t change what’s happening on the retailer side, we change with the third party that they use. 
Catherine Faiers: I mean, that is a great example where we can make it easy and Auto Trader Connect is a great example where we’ve made what used to be if a retailer got a car and they’re selling it through Auto Trader, they’re advertising it on their forecourt, it will be on their website and OEM’s website, potentially in multiple channels. Before Auto Trader Connect, those cars would often be sometimes you need to manually input the detail of those cars, update the price of those cars in different systems, and you’d have the same car advertised on those platforms at different prices, depending on what the stock feed.  Sometimes they’d have different descriptions, sometimes the car advertised would be based on a different underlying taxonomy, so the car itself might appear to be different. By connecting and you can see from we think we’re 40% of the way there already integrated with over 40 providers how complicated the retailer technology landscape is. And if we can through APIs and integrating with the systems, simplify processes for retailers, actually the complexity that exists today should help us to get traction and we’ve seen that early signs are very positive through Auto Trader Connect.
Hari: Hi, good morning. It is Hari from Goldman Sachs. Just one for me. Just touching on your forecourt guidance, how do you build these forecasts and what are the economic assumptions that you’re making? And is there a risk to this forecast if we do enter a recessionary environment towards the end of this year and next year? Thanks.
Jamie Warner: Yeah, I can take that. So look, I mean, I think I’m quite conscious that possibly, when we gave the guidance in November, yeah, the market stayed stronger than we might have thought, stronger for longer and retailer numbers have sustained really reasonably well through the second half. I think in November we had some concern that if you see the market slowdown, and particularly pricing start to soften, that puts pressure on margin, and that is what could put pressure on the retailer forecourt number. And pre-COVID, we’ve pretty consistently traded 13,300, 13,400, and we’re running considerably above that.  So I think clearly the macro outlook is less favorable. The pricing growth feels like it flattened off and so I think the guidance is that those trends do just start to play into seeing a little bit of pressure on that customer number. I think you’re right, if there was a significant correction, then the number could potentially come off more. But yeah, that’s all sort of best guess assumption at the moment for the next 12 months. And probably worth saying that what we’re seeing right here today, two months into the financial year, is that customer numbers are pretty robust.
Nathan Coe: I think it’s worth probably adding as well that at the risk of stating the obvious, the cars can’t disappear, regardless of how bad economic conditions are. In fact, actually more and more cars might appear because people start trading down in the like, so whilst retailers can reduce and disappear, the cars, if it happens through a liquidation, the cars straight to the finance provider, straight to an auction house, straight to another retailer. So you do have these buffers in our business. So every time you kind of think of the negative, especially in a downside scenario, it is worth just thinking through our what does that mean for the stock lever because a stock lever is down on an average per retailer so. And then there are a few -- and arguably also, if competing to sell cars becomes more important in a tougher market than you might see an impact on promises. Just worth, it’s not a kind of, well, that would go down and nothing else would change. 
Jamie Warner: Giles, let me go across the field here. 
Giles Thorne: Thank you. Giles Thorne here from Jefferies. I wanted to come back first on the stock lever. Guidance is very clear that commentary around the first half tough comp in a difficult macro backdrop is also very clear. I suppose the missing piece of the jigsaw then is what level of spin ups, if that’s the right word, what level of phone calls are you fielding from dealers wanting today to increase their contracted number of slots? Are you getting those phone calls today?  Second thing, I think -- I’m back. Thank you. Second thing is on the product lever, it feels like the implication or the characterization is that pricing sensitivity of dealers in a softening market is trumping any new product launches that you may have, while simultaneously, Catherine, your commentary is that during a softening market, there might be the demand for prominence products or other products to increase competitive edge. So I wanted to push you, is there upside risk to the product guidance, product lever guidance?  And then finally on Auto Convert, without going into trial and financing a big foundational stone of online car buying, could you remind us please what inertia, if any, you could face from retailers who are staring down the barrel of cannibalization of a very high margin revenue stream for them, if at all? 
Jamie Warner: Okay, I will take the first one; and Catherine take second; Nathan, third, all right. So on the on the stock lever, I think it’s probably worth just re-emphasizing a little bit around the kind of slot subscription model that we have that and you could see versus live stock, there’s less variation. So dealers are selling some cars, you sometimes see a few underutilized slots than they saw some in their back. So very unusual, I think for us to suddenly get a large increase; actually, either way, it’s sort of a much more gradual process. So I would say you can see through the second half in that slide in the appendix, we are gradually seeing those upgrades in terms of those contracted levels. But I would say it’s only very gradual. And you know, we’re certainly not back to where we were this time last year in terms of the amount of amount of paid stock, so it’s pretty marginal.
Catherine Faiers: In terms of prominence, just in terms of context, and you will assume this is from the results from all of our customers and retailers, but we are still seeing, in the current market, retailers making very good margins. They’ve come from making exceptional margins where we had a period of 12 months where prices and cars became an appreciating assets to where the nature of they were typically buying them, taking time to prep them, getting them advertised, selling them six weeks later. The rate of pricing growth we were seeing meant that for most retailers, they were getting an extra boost to margin because cars became an appreciating asset, which we haven’t seen before. So we’re entering this period with the health of our retailer base probably in a stronger position than it’s been in for a very long time.  And, of course, pressure bites, and potentially our customers become more price sensitive in the coming months. The behaviors we’ve seen from them in the past when margins have been more under pressure is we typically see -- we do see rationalization of marketing, but we see consolidation to the channels that typically work. So some of the sponsorship above the line activity that our customers were doing, we would typically like we wouldn’t have seen that in a normal market. And we’ve often seen that whilst marketing budgets are cut, our share of their marketing budget goes up because we can demonstrate very clearly the influence we have over their transactions and how we drive sales volumes for them, so we will be the most defensive of their marketing spend.  In terms of prominence and the rest of prominence, we’ve got real momentum in the sales teams today. We’ve had a great year on prominence and we’re hopeful early signs are good that we’ll be able to keep that momentum into the climate in the next few months. Clearly the sales pitch is shifting, shifting away from make the best of the market while it’s really good. It’s shifted over the last few months to be much more about gain share, win the market, focus on the segments that are there where you feel like you can have the biggest impact and use a combination of our package products to make that work for you. It’s worth also saying PPC, the product that that Jamie mentioned, is a really effective product shifting tactically cars quickly. And we’ve already seen some retailers as days to sell have started to nudge up again. We’ve seen some retailers using that product very tactically to help move specific vehicles faster. So again, we see the sort of slightly conflicting trends in how retailers are using prominence but I think overall, we feel as confident as we can at this stage that the guidance is good.
Nathan Coe: And I think on the finance question, we might have inertia from retailers but not for the reason that you’re saying. And I think this is where we certainly haven’t laid out the complexity of what we’re doing. But the way that we’re tackling retail finance, is using the core integration that we got along with Auto Convert, which is think of them as bi-directional pipes into automotive lenders. What we’re built around that is a finance platform that works within our own portal, or you can use Auto Convert, that allows you to put on Auto Trader, the ability for a consumer to apply for your finance. So the implications are that we are building for 13,945 different combinations of lenders. So we’ve got just over 40 integrations in place with lenders today, including OEM captives, including Santander and the like. And we’ve got to probably build, we’ve got to keep building that out.  But the proposition to a retailer, aside from the fact that we intend to charge for the product, actually, we’re going to give you a system that allows you to bring all your lenders into one place and process applications; even if they’re not come from Auto Trader, in the forecourt, you can do it digitally, as well. So I think it’s a pretty good proposition depending on the price, we charge for it to a retailer because believe it or not, they don’t have that today, most of them will be well I’ll do a Santander one here or login to the OEMs, Captive here. We are literally bringing that all together and enabling it to be to be done online. So it’s very much not cannibalizing. It just makes it really hard for us and that’s one of the things that has taken longer.  The comment on inertia that assume we still may have some levels around that, because it’s one of the most closely guarded, anyone who’s bought a car more recently and gone in to speak to the special F&I person or the business manager, it’s one of those closely guarded, very embedded processes within dealerships. And the bigger the deal again, the more complexities to change those business processes but we’re not getting great levels of pushback. I think it’s one of the more interesting things that we’re doing but it’s also right at the heart of certainly big dealer groups. And with all that agency and digital retailing and profitability that I spoke about, this is critical for anyone selling cars under five years, it might be the difference between profit and loss.
Giles Thorne: Understood. And forgive me, a quick follow up. Jamie, any comment on level of current underutilized contracted slots?
Jamie Warner: It is pretty much back to historical norms. It was something more through the first half of the year when you saw a very sudden drop off in stock. 
Unidentified Participant : And thank you for taking my question. It’s [indiscernible] from Berenberg. Just one on what we can expect in terms of wage inflation over the coming year. And I guess the second one in terms of pricing. You mentioned about consumer demand softening a couple of times now. So in terms of the price point of cars, where are you seeing this demand softening the most? And could you maybe just give us an indication in terms of dealers, would you say you’re smaller dealers are skewed towards slightly lower price points, slightly higher ones, is any indication of that would also be quite helpful.
Jamie Warner: Yeah, I can take the first one; Catherine, second. So I think there is -- we’re not immune to -- every company is seeing some level of wage inflation. I think more of our challenge is probably around high demand as well, sort of developers, data scientists as much as everyone across the organization. These are high demand roles and those salaries are appreciating, as well as the kind of inflationary pressure but don’t think we’re immune to any of those. But I think we believe, certainly to this next 12 month period that we’re guiding for that we can manage that process through the guidance that we’ve given.
Catherine Faiers: In terms of price positions of cars, I think how we best describe it is that we’ve seen stabilization since last February. So, we saw rapid growth in the average price of used car from around 13,000 pounds, which is it been gradually incrementing up, up to about 18,000 pounds in a relatively short period of time. Since around February time, it’s been somewhere between 17,500 and 18,000 pounds. The biggest change has actually been the relative mix of vehicles that we see making up that used car price point. Because we’re now in our third year of relatively low new car transaction volumes at the kind of 1.6 million level, whereas historically, we would always have been north of 2 million, we’re seeing fewer younger cars making up that mix, which is what you see in the negative mix factor on the pricing chart. It is just purely a factor of the volume of cars we’re seeing in each of the age cohorts.  We haven’t seen huge variation in fuel types, because the supply and demand for different fuel types tends to normalize. So diesel demand clearly has dropped quite significantly, but actually supply has dropped because OEMs have naturally for the semiconductors and the supply that has been there have been focusing on EVs. So we haven’t seen significant segment shift, it’s mostly variation we’ve seen, it’s been in age profile of cars.  In terms of what that’s meant for our retailers and different sizes customers, I think the biggest change we’ve seen there is our bigger franchise customers typically shifting and more into stocking slightly older vehicles. So part exchange cars that are coming in might have been four or five years old that they historically would have put through auction or b2b channels, there’s slightly opportunistically without the new cars there and with supply more challenge, they’ve been looking to the retail those cars more directly themselves and build out their used car business.
Nathan Coe: Now, I think it’s worth commenting on small retailers that you mentioned. I think the stereotype is that these are the more vulnerable businesses that a small corner shops and the big supermarkets are moving in but actually it is not uncommon for us to look at our smaller customers and independent customers as a group and see them to be outperforming other segments of the market. And as you think about the environment we’re coming into, don’t need to be sophisticated, they need to be doing all the basics, right, as Catherine spoke about, but if they do that, they tend to have older cars, those are older cars tend to be cheaper, which throughout the whole of the COVID pandemic and likely into whatever we’re going into, cheaper cars are going to remain in pretty strong demand and there’s a little bit more supply there because unlike the under five year old cars, if you kind of rewind back, some of these older vehicles will be coming back to market, so the supply dynamics are okay. So I don’t think we’re here worried about fragmentation, and anyone that is really worried about consolidation does continually get proved wrong as these kind of small entrepreneurial businesses with very low cost basis kind of adapt and find cars that people want and provide a decent service around it.
Silvia Cuneo: Thank you. It’s Silvia Cuneo from Deutsche Bank. I have a question on user engagement. If there is anything more that you can say, beyond the cross platform you did it was against your competitors, given the evolution of different models in online commerce, just to get a sense of how strong your role remains perhaps with unique basis and to get some of the assurance about marketing as a percentage of revenue can remain at these levels?  And maybe, secondly, on the performance during the financial crisis, obviously, you mentioned it was early days in your digital transition back then. But is there any KPI you can point to perhaps the stock level, how that performed during that time that can help us think about potential insights on the and -- yeah, I will stick to two. 
Catherine Faiers: In terms of marketing, I think it’s worth starting from how we think about what we’re trying to do with marketing. So we’re in a very fortunate position as brands that 95% of our traffic is coming from unpaid channels, the majority of that comes directly to us through our apps. The apps drove about 45% of our visits. So in terms of kind of Google exposure or marketing exposure, that traffic is there and very strong and performs very well for us. The next biggest kind of category of audience and visits to us comes from organic channels, so from organic social, our email activity from our end user base and also from our SEO positions. So, actually most of what we see our job as a marketing team is to continue to build our kind of owned media assets, which is why you see and hopefully continue to see really strong app performance. We’ve now got 16 million app downloads, it is why you see the growth in our social and YouTube channels are now up over 800,000, social followers 700,000. YouTube subscriber is building the brand and those own assets. And how we use our app websites is always going to be like the most impactful and the best marketing that we can do.  So, in terms of budget and how we then spend the money, I guess, on performance and that brand activity, we’re comfortable that we can maintain that marketing spend as a consistent percentage of revenue. And we’re confident because we start from that very strong position. But also, we’re confident that despite the significant media inflation we’re seeing and others have seen over the last 12 months that we can continue to drive efficiencies in how we’re spending that money, the more we do, the more we learn, particularly when we’re moving more towards kind of more performance measures. Historically, we’ve been kind of aggregated [indiscernible] and, increasingly, as we’re getting consumers to do more on our platforms, we’re learning more about how to then re-market to them, how to engage them, how to keep them on our platforms. So we’re confident that we can invest in those core assets and continue to drive growth with the marketing budget that we’ve got outlined.
Jamie Warner: The last recession, so sort of, ‘08, ‘09, so there was some third-party research that was done. So in 2009, total market volume of retailer forecourts dropped 8% in ‘09 and 3% in 2010. Obviously the nature of the crisis around credit meant that there are a number of businesses that just had credit withdrawn, and so they couldn’t finance the inventory on the forecourts may have driven some of that dramatic decline, particularly in ‘09. I think in terms of Auto Trader, we have put some data in previous presentations, we did see some impact in terms of inventory. So we showed the kind of live stock on side. As it held up okay through ‘08, ‘09, it did drop in 2010. So I think it was down about 10% and, again, that’s flowing through from those retailer forecourts and then recovered in 2011 and beyond.  From a financial perspective, it is very difficult to dissect, because we were going through the kind of real core of having print to digital transition. So actually revenues held up held up well and as did profit. I think one other things to know is back in that time period, we probably didn’t have a stronger competitive as position as we have now. And there have been periods more recently where maybe the market has been a little bit tougher and I think people know that their audience and eyeballs on Auto Trader and that’s where you want to compete in a tough market. Appreciate, move back to Andrew.
Andrew Ross: Thanks. It is Andrew Ross from Barclays. I’ve just got two, if that’s okay. First one is on the pricing lever in ARPR. So until FY ‘22, it used to grow about three and last year it was closer to four and you’re kind of saying the same for the year upcoming. Are we now kind of thinking that 4.5 to 4 is the new normal in terms of price?  And then the second question is on manufacturing agency, I am just kind of curious what the OEMs are saying to you and how those conversations are going. And I’ll be thinking that that spend starts to come back whenever new car supply gets better whatever that may be or could there be something structural going on here and that’s just never coming back? Just kind of curious how you’re thinking about. Thank you. 
Jamie Warner: Yes, I’ll take the first, and maybe Catherine you take the second. So, I think that is the guidance so we did the 74 pounds just under 4% guiding for similar absolute level in fiscal year ‘23, probably worth remembering that that guidance was executed on the 1st of April this year and actually, we communicated it in January. So we weren’t running the kind of -- the inflationary rates weren’t as high as they are now at that point. Obviously, you’re always trying to balance many things with it. We try to keep a reasonably open mind and collect the information as we build up toward the end of calendar year ‘22, we’ll start thinking about what the right quantity is. I think where we sat right here today, as you said, is that that’s like the new kind of normal, about three to four, I’d say, yes. But, there’s clearly a lot that can happen between now and the end of the year, we keep reviewing it.
Catherine Faiers: In terms of manufacturing agency, I think certainly with the current context and the supply, I guess the new round of supply challenges driven by lock downs in Shanghai and other big important manufacturing markets and the impact on wire meshing and other component parts with the Russian and Ukraine conflict. We’re not hearing anything more positive about supply from OEMs in this -- certainly not in this calendar year. In terms of how we make money from manufacturers, more broadly, we’ve got the advertising products that sit within our manufacturing agency line. And you remember, a couple of years ago, we took the decision to remove standard format to consolidate those products back to native advertising positions. I think we’re hopeful when the market returns to see some growth in those advertising products. I think more strategically, the work we’re doing with the manufacturers is much more around how we can sell our commercial data products to them, how they can share their data with us, but also that we have the retailer new car stock products, which has also been impacted by the supply shortages. And through that product and through manufacturers increasingly looking to sell directly cars to consumers themselves, we think there’s interesting opportunities there on how we evolve that product in line with some of our digital retailing ambitions as well to become a bigger and more important partner to manufacturers in the future.
Nathan Coe: And the only thing I’d add to that, a very small addition, but consistent with everything Catherine said. And hence Autorama, which can offer one of the things it’s been difficult with manufacturers, historically, is when they’re not on the hook for selling the car, how do we convince them to work with Auto Trader was anyone that is on the hook for selling a car -- well, not anyone, but the vast majority of people that are taking cars on balance sheet and need to sell them do work with Auto Trader. Now that’s changing because of our agency. So, everything that Catherine said, but also now going to channel we’re going to say if you need help selling cars online, we’ve got a very direct solution that OEMs are working with today spending considerable amounts of money even though it’s a small number of cars.
Jessica Pok: Good morning. It is Jessica Pok from Peel Hunt. I just got one final question for you. For Auto Trader Connect, I think you mentioned that you’re integrated to about 40% of third party software providers. What percentage of stock does that actually cover? And is there potential for that percentage to be higher? And are there challenges to achieving a high percentage?
Catherine Faiers: So, in terms of -- we’ve got about 45 providers that we’ve connected with, as we’re saying for the segment of customers that Auto Trader Connect product is most applicable to is all of our customers that don’t use our retailer portal products, so it is typically biggest customers that are working with multiple technology providers, so, for our smaller customers, whether you see the portal to manage and upload stock, the products not as relevant to them. So firstly, Auto Trader Connect, all of it is not directly relevant for all of our customers. For the customers, it is relevant for, typically, franchises, some of the bigger independents. Those 45 providers do get this slightly more than 40% of stock coverage but we’ve got over 100 third parties that have agreed in principle to integrate with us. We think that’s pretty much all of the market that we need and we are progressively working through integrating with all of those parties. The effort and the commitment is not really on our side, it’s all about how quickly those third parties can move. It’s very relatively simple and can be relatively simple and far process from our perspective.
Jamie Warner: [indiscernible] is the last one to. So, go across to Pete.
Unidentified Analyst: Lucky me. So Pete from Morgan Stanley. On two products, guaranteed part-exchange, and then the finance application journey, can you give an update on the adoption of these products? And maybe, like what are the pain points or hurdles that you kind of still need to crack or get right in order for adoption to grow? Thanks.
Nathan Coe: I can take that. I think so how we were going about it 12 months ago was building each of these in isolation, so as building blocks, if you like, and then that way we could get our retailers to kind of pick and mix, if you like, what worked for them. When we went live GPX is complete as a product, it works well. It trialed really, really well. When we came to kind of commercialize it and move from the free trial, you will have seen this in the results; actually the numbers were less than what we would have liked. What we realized was there was nothing wrong with the product because all conversion funnels, all looked good. I mean, I was a product person by background, I thought this was an absolute shoo-in. Retailers didn’t -- it didn’t necessarily make sense to retailers, just having one leg of the stool of digital retailing, if you like. So we’ve pretty quickly pivoted stop focusing on individual products, and then focused on, well, let’s put the bet on a full end-to-end journey and that’s the conversation we’ll have the retailer, and guaranteed part-exchange has to be part of that, like it just doesn’t work without it. So it’s there and ready to go and built into the end-to-end journey, we will have that end-to-end journey from a dealer and consumer perspective, live. While certainly this year, I’d like to think in the first half of this year as well.  Finance applications, it’s the same story but slightly different because it is one that I think does have standalone value to the retailer for all the reasons that I outlined to Giles. It is complex to -- well, it’s not very complex, but some things that might seem simple to financial institutions and ours aren’t always easy like finding your FCA number and getting the directors to set up a stripe integration and sign a bank account mandate. So it’s tricky to get it in, we’ve probably got, I don’t know the numbers, it’s about 8 to 10 retailers that are using that, so there are online applications happening today on Auto Trader with that small number of retailers. That’s really for us just to test the pipes and test the integration with the lenders, test the attribution and the like, then it will also become part of that end-to-end journey, but finance generally is an area that I think could be valuable in and of itself to a lot of retailers because it’s an important part of the business, it’s not well automated.
Jamie Warner: That’s great. That’s all we’ve got time for this morning. So, thank you very much for everyone for joining. 
Nathan Coe: Thank you.